Operator: Greetings and welcome to Ameren Corporation's First Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] It is now my pleasure to turn the conference over to your host, Andrew Kirk, Director of Investor Relations for Ameren Corporation. Thank you, Mr. Kirk. You may begin.
Andrew Kirk: Thank you and good morning. On the call with me today are Warner Baxter, our Chairman, President, Chief Executive Officer; and Michael Moehn, our Executive Vice President and Chief Financial Officer, as well as other members of the Ameren management team joining us remotely. Warner and Michael will discuss our earnings results and guidance, as well as provide a business update, then we will open the call for questions. Before we begin, let me cover a few administrative details. This call contains time-sensitive data that is accurate only as of the date of today's live broadcast, and redistribution of this broadcast is prohibited. To assist with our call this morning, we have posted a presentation on the amereninvestors.com homepage that will be referenced by our speakers. As noted on Page 2 of this presentation, comments made during this conference call may contain statements that are commonly referred to as forward-looking statements. Such statements include those about future expectations, beliefs, plans, projections, strategies, targets, estimates, objectives, events, conditions, and financial performance. We caution you that various factors could cause actual results to differ materially from those anticipated. For additional information concerning these factors, please read the forward-looking statements section in the news release we issued today and the forward-looking statements and risk factors sections in our filings with the SEC. Lastly, all per share earnings amounts discussed during today's presentation included earnings guidance are presented on a diluted basis unless otherwise noted. And here’s Warner.
Warner Baxter: Thanks, Andrew. Good morning, everyone, and thank you for joining us. I hope you, your families and colleagues are safe and healthy. Before I begin my discussion about first quarter results and related business matters, I want to begin with a few COVID-19. It is hard to believe that we have now been addressing the challenges associated with this pandemic for over a year now. Needless to say, much has changed. However, one thing that has not changed is our relentless focus on delivering safe, reliable, cleaner and affordable electric and natural gas service for the millions of people in Missouri and Illinois that are depending on us. As I said during our year-end conference call in February, despite the significant challenges presented by COVID-19, I look to the future with optimism. In part, this was due to the aggressive distribution of vaccines throughout our country. I'm pleased to say that we are beginning to see the fruits of the incredible efforts by so many in the health care, government, public and private sectors. COVID-19 cases are down significantly from earlier in the year and restrictions have lessened. As a result, we are clearly seeing signs that the economy is improving on our service territory and across the country. Optimism was also driven by how our co-workers have consistently stepped up and addressed a multitude of challenges and capitalized on opportunities and the strong execution of our strategy that is delivering value to our customers, communities and shareholders. Together, these factors contributed to our ability to get off to a strong start in 2021, which brings me to a discussion of our first quarter results starting on Page 4. Yesterday, we announced first quarter 2021 earnings of $0.91 per share compared to earnings of $0.59 per share in the first quarter of 2020. Year-over-year increase of $0.32 per share reflected increased infrastructure investments across all of our business segments that will drive significant long-term benefits for our customers. The key drivers of first quarter results are outlined on this slide. I'm also pleased to report that we continue to effectively execute our strategic plan and remain on track to deliver within our 2021 earnings guidance range of $3.65 per share to $3.85 per share. Michael will discuss our first quarter earnings, 2021 earnings guidance and other related items in more detail later. Moving to Page 5, here we reiterate a strategic plan. The first pillar of our strategy stresses investing in and operating on our utilities in a manner consistent with existing regulatory frameworks. This has driven our multiyear focus on investing in energy infrastructure for the long-term benefit of customers. As a result, and as you can see on the right side of this page, during the first three months of this year we invested significant capital in each of our business segments including our investment in wind generation. Regarding regulatory matters in late March Ameren Missouri filed a request for a $299 million increase in annual electric service revenue with the Missouri Public Service Commission. In addition, Ameren Missouri filed a request for a $9 million increase in annual natural gas revenue with the PSC. While Michael will discuss the details of the request at a moment, I'd like to briefly touch on some of the key benefits, our electric and natural gas customers in Missouri are seeing as a result of the investments reflected in these rate requests. We are now in the third year of the Ameren Missouri’s Smart Energy Plan, which is focused on strengthening the grid, infrastructure upgrades, adding more renewable generation and creating programs to stimulate economic growth for communities across the state. Our grid modernization investments incorporates smart technology including outage detection and restoration switches as well as smart meters, which allow customers to take advantage of new rate options. These investments are delivering results to improve reliability and resiliency. For example on circuits with new smart technology upgrades, we have seen up to a 40% improvement in reliability. Of course, we also remain committed to a clean energy transition for our customers and state. This is demonstrated through our recent acquisitions of two wind generation facilities located in Northern Missouri totaling 700 megawatts. In addition, our investments are stimulating economic growth for communities across the state. I’m pleased to say that 57% of Ameren Missouri suppliers in 2020 were Missouri-based and 32% of its sourcebook capital spend was with the first suppliers. And we're doing all of these things while keeping our customers electric rates approximately 20% below the average and other Midwest states and across the country. At the same time, we remained very disciplined in managing our costs. As a result, if approved, the new electric rate requests represent a 5.4% total increased over an almost five year period, yearly average of approximately 1%. We will remain disciplined in managing our costs while we build a stronger, smarter and cleaner energy system for our customers now and in the future. Moving now to Ameren Illinois regulatory matters. In January, we received the constructive rate order from the ICC that resulted in a $76 million annual increase in gas distribution mix. New rates went into effect in late January. In our Illinois Electric Business, we made our required annual electric distribution make filing requesting a $64 million base rate increase. This filing is only the second requested increase in delivery service rates in six years. While Michael will touch on the details of our filing a bit later, I think it is important to note that for years, our Illinois customers have realized the benefits of our significant investments in energy infrastructure. This performance-based rate making began in 2012. Reliability has improved by 20% and over 1,400 jobs have been created. At the same time, electric rates are among the lowest in the country and Midwest approximately 3% below 2012 levels. This performance-based framework has been a win-win for our customers and the state of Illinois. That is why we continue to strongly advocate for performance-based regulatory framework in the Illinois legislature, which brings me to our discussion of the second pillar of our strategy, enhancing regulatory frameworks and advocating for responsible energy and economic policies on page six. As I discussed in our conference call in February, an enhanced version of the Downstate Clean Energy Affordability Act legislation was filed earlier this year which if passed would apply to both the Ameren Illinois Electric and Natural Gas Distribution businesses. This legislation would allow Ameren Illinois to make significant investments in solar energy, battery storage, and electric and gas infrastructure to continue to enhance safety and reliability as well as in the transportation electrification in order to benefit customers in the economy across Central and Southern Illinois. This important piece of legislation would also require a diverse supplier spend reporting for all electric renewable energy providers. Another key component of the Downstate Clean Energy Affordability Act is that it would allow for performance-based rate making for Ameren Illinois’ natural gas and electric distribution businesses to 2032. The proposed performance metrics will ensure investments are aligned with and are contributing to the safety and reliability of the energy grid and natural gas systems, as well as the state's vision for the transition to clean energy. Further, this legislation would modify the allowed return on equity methodology in each business to align with the average returns being earned by other gas and electric utilities across the nation. And as I noted a moment ago, this legislation builds on Ameren Illinois' efforts to invest in critical energy infrastructure under a transparent and stable regulatory framework that has supported significant investment, improved safety and reliability, and created significant new jobs, all while keeping electric rates well below the Midwest and national averages. This bill would also move the State of Illinois closer to reaching its goal of 100% clean energy by 2050. With all of these benefits in mind, we are focused on working with key stakeholders to get this important legislation passed. To-date, the Downstate Clean Energy Affordability Act has received strong bipartisan support from members of the Senate and House. Currently, House Bill 1734 has 49 sponsors, and Senate Bill 311 has 21 sponsors. As I'm sure you know, there are also several other energy-related bills being considered by the legislature. We will continue to be actively engaged with key stakeholders throughout the legislative session on these important energy policy matters. The spring session is currently set in May 31. Turning to Page 7 for an update on FERC regulatory matters, In April, FERC issued a supplemental notice of proposed rulemaking on the electric transmission return on equity incentive adder for participation in a Regional Transmission Organization or RTO. In the supplemental notice, the firm proposes to limit the duration of the 50 basis point ROE incentive adder for companies that join an RTO to three years. FERC also proposes to eliminate the adder for utilities that have been part of an RTO for three years or more, which would include Ameren Illinois and ATXI. Without this incentive adder Ameren Illinois and ATXI would earn the current allowed base ROE of 10.02%. For perspective, every 50 basis point change in our FERC ROE affects annual earnings per share for approximately $0.04. Needless to say, we are disappointed with the direction the FERC has taken in the supplemental notice and strongly oppose the removal of the adder. From our perspective, our job participation adder is needed to compensate companies for assuming risk associated with turning over operational control of assets to the RTO. The proposals also inconsistent with the first stated policy goals and the intent of existing amount to encourage our RTO participation. We will continue to advocate for the RTO incentive adder and other project incentive adders proposed in the March 2020 NOPR. We will file comments on the supplemental NOPR by the May 26 deadline. Of course we are unable to predict the ultimate outcome or timing of this matter as the focus under no timeline to issue a decision. Moving now to Page 8, policy matters are important because transmission investment is going to play a critical role in a country's clean energy transition. As we have discussed before, myself and other key stakeholders including Ameren have been carefully assessing the transmission needs in the MISO footprint to ensure the overall reliability and resiliency of the energy grid is maintained. Our companies execute their clean energy transition plans. Recently, MISO published several reports that outline some of the preliminary thoughts on MISO’s transmission needs in the future. This page summarizes a recent study that outlines a potential road map of transmission projects to 2039, taking into consideration the rapidly evolving generation mix that includes significant levels of renewable generation based on announced utility integrated resource plans, state mandates, and goals for clean energy indoor carbon emission reductions, among other things. I would also note that MISO in the Southwest Power Pool are also working together to develop a similar evaluation of transmission needed to support the transition across both regions. The bottom line is that significant regional and local transmission investments will be needed for the clean energy transition over the next 10 to 20 years. For example, under MISO’s future one scenario which is a scenario that resulted in an approximate 60% carbon emission reduction below 2005 levels by 2039, MISO estimates future transmission investment could amount to an estimated $30 billion in the MISO footprint. Further, future three resulted in an approximate 80% reduction in carbon emission levels below 2005 levels by 2039. MISO has estimated future three could result in an estimated $100 billion of transmission investment in the MISO footprint. We provide some context to this. During MISO’s last regional transmission planning process, approximately $6.5 billion of multivariate project investments were made over the last 10 years or so. In light of the continued focus on the clean energy transition in our country, we are actively working with MISO and other key stakeholders to move the assessment and project approval process along, with an appropriate sense of urgency to ensure we maintain a safe, reliable, and resilient energy grid and do so in an affordable fashion. Given our past success in executing large regional transmission projects, we believe we are well positioned to plan and execute potential projects in the future for the benefit of our customers and country. We believe certain projects outlined in Future 1 will be included in this year's MISO transmission planning process, which is scheduled to be completed in the fourth quarter of 2021. We look forward to working with MISO and key stakeholders on this important planning process. Speaking of clean energy transitions, let's move now to Page 9 for an update on our $1.1 billion wind generation investment planned to achieve compliance with Missouri's renewable energy standard through the acquisition of 700 megawatts new wind generation at two sites in Missouri. Ameren Missouri closed on the acquisition of its first wind energy center, a 400-megawatt project in Northeast Missouri in December. In January, Ameren Missouri acquired its second wind generation project, the 300-megawatt Atchison Renewable Energy Center located in Northwest Missouri. Approximately half the megawatts of the Atchison Renewable Energy Center are in service. We expect the remaining megawatts to be placed in service by September 30. Turning now to Page 10 and an update on Ameren Missouri's Callaway Energy Center. During its return to full power as part of its 24th refueling and maintenance outage in late December 2020, Callaway experience a non-nuclear operating issue related to its generator. At their own, investigation of this matter was conducted, and the decision was made to rewind the generator stutter and router in order to safely and sustainably return the energy sector to service. The project is going well and we continue to expect the capital project to cost approximately $65 million. I am also pleased to report that the insurance claims within the capital project and replacement power have been accepted by insurance carrier, which will mitigate the impacts of this outage for our customers. We expect the Callaway Energy Center to return to service in July. As we have said previously, would you not expect this man to have a significant impact on Ameren financial results. Turning the Page 11, we are focused on delivering a sustainable energy future for our customers, communities, and our country. This page summarizes a strong sustainability value proposition for environmental social and governance matters and is consistent with our vision, leading the way to a sustainable energy future. I have discussed several elements of our strong sustainability value proposition with you in the past. So, in the interest of time, I will not go through all of these points again this morning. Having said that and moving to Page 12, you should know that we have already made significant progress in our sustainability efforts in 2021. Here, we highlight several key achievements to date this year. Beginning with environmental stewardship last September, Ameren announced his transformational plan to achieve net zero carbon emissions by 2050 across all of our operations in Missouri and Illinois. This plan includes strong interim carbon emission reduction targets at 50% and 85% below 2005 levels in 2013 and 2014 respectively. This plan is also at the heart of our updated climate risk report, which is based on the recommendations of the task force on climate-related financial disclosures which were issued last week. I am pleased to report our plan is consistent with the objectives of the Paris Agreement and limiting global temperature rise to 1.5 degrees Celsius. In terms of social impact, I am very excited to say that our efforts in this area continue to be recognized by leading organizations. Last week, Diversity, Inc. announced Ameren is once again named number one on the top utilities list with diversity and inclusion, which we have been proudly a part of since 2009. Diversity, Inc. also ranked Ameren second on the top 10 regional companies and as a top company for ESG among all industries. In addition, for the fifth year overall, we've been certified by a great place to work. And finally, we are recognized as the best place to work for LGTBQ but in Human Rights Campaign. Moving to governance, our board and management have established governance structures that enable a focus on the ESG matters that drive Ameren strategy, mission, and vision, including the addition of ESG metrics to drive executive compensation programs. In particular, our board of directors refined our executive compensation program by adding workforce and supplier diversity metrics to our short-term incentive plan for 2021. In addition, we recently issued several social impact policies. Since our call in February, we've also issued several reports reflecting our sustainability efforts and advances. Just last week we posted our 2021 Sustainability Report, which expands a mini ESG and sustainability topics and posted the 2020 ESG sustainability template. And for the first time, we publish information using the Sustainability Accounting Standards Board reporting framework and mapped our business activities to the United Nations Sustainable Development Goals. I encourage you to take some time to read more about our strong sustainability value proposition. You can find all of our ESG related reports at amereninvestors.com. Turning now to Page 13. Environmental stewardship, social impact and governance are three pillars of our strong sustainability value proposition. Our final pillar is sustainable growth. Looking ahead, we have a strong sustainable growth proposition which will be driven by a robust pipeline of investment opportunities of over $40 billion. Over the next decade it will deliver significant value to all of our stakeholders and making our energy grid stronger, smarter and cleaner. Importantly, these investment opportunities exclude any new regionally beneficial transmission projects that I described earlier, all of which would increase the reliability and resiliency of the energy grid as well as enable additional renewable generation projects. In addition, we expect to see greater focus from a policy perspective on infrastructure investments to support the electrification of the transportation sector. Our outlook to 2030 does not include significant infrastructure investments for electrification at this time either. Of course our investment opportunities do not only create a stronger and cleaner energy grid to meet our customers’ needs and exceed their expectations but they will also create thousands of jobs for our local economies. Maintaining constructive energy policies that support robust investment in energy infrastructure and a transition to a cleaner future and a safe, reliable and affordable fashion will be critical to meeting our country's future energy needs and delivering on our customers’ expectations. Moving to Page 14. To sum up our value proposition, we remain firmly convinced that the execution of our strategy in 2021 and beyond will deliver superior value to our customers, shareholders and the environment. In February, we issued our five year growth plan, which included our expectation of a 6% to 8% compound annual earnings growth rate from 2021 to 2025. This earnings growth is primarily driven by strong weight based growth and compares very favorably with our regulated utility peers. Importantly, our five year earnings and rate base growth projections do not include 1,200 megawatts of incremental renewable investment opportunities outlined in Ameren Missouri's integrated resource plan. Our team continues to assess several renewable generation proposals from developers. We expect to file this year with the Missouri PSC for certificates of convenience and necessity for a portion of these planned renewable investments. I am confident in our ability to execute our investment plans and strategies across all four of our business segments as we have an experience and dedicated team to get it done. That fact, coupled with our sustained past execution of our strategy on many fronts, this position as well for future success. Further, our shares continue to offer investors a solid dividend, which we expect to grow in line with our long term earnings per share growth guidance. Simply put, we believe our strong earnings and dividend growth outlook results in a very attractive total return opportunity for shareholders. Again, thank you all for joining us today now we’ll now turn the call over to Michael.
Michael Moehn: Thanks, Warner and good morning, everyone. Turning now to Page 16 of our presentation. Yesterday, we reported first quarter 2021 earnings of $0.91 per share compared to $0.59 per share for the year ago quarter. Earnings at Ameren Missouri, our largest segment increased $0.22 per share due to several favorable factors. The earnings comparison reflected new electric service rates effective April 1, 2020 which increased earnings by $0.10 per share. In addition, earnings benefited from lower operations and maintenance expenses which increased earnings $0.07 per share. This was primarily driven by the absence of an unfavorable market returns that occurred in 2020 on the cash surrender value of our company-owned life insurance as well as disciplined cost management. Earnings also benefited by approximately $0.04 per share from higher electric retail sales driven by near-normal winter temperatures compared to milder-than-normal winter temperatures in the year-ago period. We have included on this page the year-over-year weather normalized sales variances for the quarter that showed total sales to be comparable with Q1 2020, which was largely unaffected by COVID-19. We continue to see improvements in sales as schools and businesses reopen and begin to increase their levels of operation. Earnings were positively impacted by the timing of income tax expense, which we do not expect to impact full-year results, as well as the absence of charitable donations that were made pursuant to the Missouri rate review settlement in March 2020. And finally, these favorable factors were partially offset by the amortization of deferred expenses related to the fall 2020 Callaway Energy Center’s scheduled refueling and maintenance outage. Moving to other segments, earnings for Ameren Illinois natural gas were up $0.08 reflecting higher delivery service rates that were affected January 25, 2021, incorporating a change in rate design as well as the increased infrastructure investments and a lower allowed ROE. The first quarter of 2021 benefit from the change in rate design is not expected to impact full-year results. Ameren Illinois electric distribution earnings increased $0.03 per share which reflected increased infrastructure investments and a higher allowed ROE on a performance base rate-making of approximately 8.15% compared to 7.45% for the year ago quarter. Ameren Transmission earnings were comparable year-over-year which reflected increased infrastructure investments that were offset by unfavorable $0.03 impact of a March 2021 FERC order. This order related to an intervenor challenge regarding the historical recoveries of material and supplies inventories and rates and will have no impact on the current formula rate calculation prospectively. And finally, Ameren Parent and Other results were down $0.0 per share compared to the first quarter of 2020 due to increased interest expense resulting from higher long term debt outstanding offset by the timing of income tax expense, which is not expected to impact full year results. Finally, 2021 earnings per share reflected higher weighted average shares outstanding. Before moving on, I'll touch on sales trends in Illinois electric distribution in the quarter. Weather normalized kilowatt hour sales to Illinois residential customers increased 1.5%. And weather normalized kilowatt hour sales to Illinois commercial and industrial customers decreased 1.5% and 2.5%, respectively. Recall that changes in electric sales in Illinois no matter the cause do not affect our earnings since we have full revenue decoupling. Turning to Page 17, I would now like to briefly touch on key drivers impacting our 2021 earnings guidance. We're off to a strong start in 2021 as Warner stated, we continue to expect 2021 diluted earnings to be in the range of $3.65 to $3.85 per share. Select earnings considerations for the balance of the year are listed on this page and a supplemental to the key drivers and assumptions discussed in our earnings call in February. I'll note that our second quarter earnings comparison will be negatively impacted due to a seasonal rate design change effective for 2021 in Ameren Missouri as part of the March 2020 electric rate order. This order called for winter rates in May and summer rates in September rather than the blended rates used in both months in 2020. The second quarter results were also being negatively impacted by the absence of the impact of the 2024 FERC order approving the MyCelx-allowed base are we at Ameren Transmission. Together, these two items are expected to reduce second quarter earnings by approximately $0.25 year-over-year. I encourage you to take this into consideration as you develop your expectations for our second quarter earnings results. Turning now to Page 18, here, we outline in more detail our recently filed Missouri electric rate review that Warner mentioned earlier. This reflects many benefits including major upgrades, the electric system reliability and resiliency for customers as well as investments to support the transition to a cleaner energy for the benefit of customers and local communities. Now, let me take a moment to go through the details of this filing. The request includes a 9.9% return on equity, a 51.9% equity ratio and a September 30, 2021 estimated rate base of $10 billion. This includes a test year into December 31, 2020 with certain pro-forma adjustments through September 30, 2021. The requests include a continuation of the existing FAC and other regulatory mechanisms along with a request to recover certain costs associated with the Merrimack Energy Center which is expected to retire in 2022 over a five-year period from the date of the new rates become effective. As outlined in this page, the key drivers of our $299 million annual rate increase include increased infrastructure investments made under Ameren Missouri smart energy plan, impact of the transition to a cleaner generation portfolio, decrease weather normalized customer sales volumes and a higher pension, OPEB, and tax harmonization expenses, partially offset by lower operation and maintenance expenses. Moving to Page 19 for an update on other Ameren Missouri regulatory matters. In March 2021, we also filed a natural gas rate review. The details for the $9 million annual revenue increase request are outline on this page. We expect the Missouri PSC decision in both our electric and natural gas rate reviews by February 2022 with new rates expected to be effective by March. Further, last October, we filed a request with the Missouri PSC to track and defer in a regulatory asset certain COVID-related costs incurred net of any COVID-related costs savings. In March 2021, the Missouri PSC approved this request. $9 million of net costs were incurred through March 31, 2021. We recognized $5 million in the first quarter of this year and expect the remaining portion relating to late fees to be recognized when realized and rates beginning in early 2022. The timing to recover these costs will be determined as part of our pending electric and gas rate reviews. Moving now to Page 20 for an update on Ameren Illinois regulatory matters. Last month, we made our required annual electric distribution performance-based rate update file and requesting a $64 million base rate increase. Under Illinois performance-based rate making, Ameren Illinois is required to make annual rate updates to systematically adjust cash flows over time for changes and costs of service and a true of any prior period over or under recovery of such cost. Since this constructive framework began, Ameren Illinois has made prudent investments to strengthen the grid and reduce outages and continues to do so. Major investments including the request or the installation of outage avoidance and detection technology. Major investments, including the request, are the installation of outage avoidance and detection technology; integration of storm-hardening equipment; adoption of clean energy technologies; and the implementation of new energy efficiency measures, including mobile-enhanced communications and assessment capabilities for electric field workers. The ICC will review our request in the months ahead, with a decision expected in December of this year and new rates effective in January of next year. Turning to Page 21 for a financing and liquidity update, we continue to feel very good about our liquidity and financial position. In February, Ameren Corporation issued $450 million of 1.75% senior unsecured notes due in 2028. The proceeds were used for general corporate purposes, including to repay short-term debt. We also expect both Ameren Missouri and Ameren Illinois to issue long-term debt in 2021. In addition, as we mentioned on the call in February, during the quarter, we physically settled the remaining shares under our forward equity sales agreement to generate approximately $150 million - $115 million. In order for us to maintain our credit ratings and a strong balance sheet while we fund our robust infrastructure plan, we expect to issue approximately $150 million of additional common equity during the balance of 2021 which is consistent with the guidance we provided in February. To that end, in May, we expect to establish an at-the-market or ATM equity program to support our equity needs through 2023. This future equity issuance will enable us to maintain a consolidated capital structure consisting of approximately 45% equity over time. The incremental natural gas and power purchases incurred due to the extreme cold in mid-February this year did not have a significant impact on our liquidity or ability to fund our future operations and investment. Ameren’s available equity as of April 30 was approximately $1.3 billion, which includes $2.3 billion of combined credit facility capacity net of approximately $1 billion of commercial paper borrowings at the end of the month. Finally, turning to Page 22, we're well positioned to continue executing our plan. We're off to a solid start and we expect to deliver strong earnings growth in 2021 as we continue to successfully execute our strategy. As we look to the longer term, we continue to expect strong earnings per share growth driven by robust rate based growth and disciplined cost management. Further, we believe this growth will compare favorably with the growth of our regulated utility peers. And Ameren shares continue to offer investors an attractive dividend. In total, we have an attractive total shareholder return story that compares very favorably to our peers. That concludes our prepared remarks. We now invite your questions.
Operator: [Operator Instructions] Our first question comes from Jeremy Tonet with JPMorgan. Please proceed with your question.
Jeremy Tonet: Thanks for all the colors today, very helpful. Maybe just starting off with regards to the Illinois legislative session here, do you have any sense for the relative priority of utility issues within the overall clean energy legislation discussions? And do you see any potential for kind of a grand bargain here to be reached on energy?
Warner Baxter: Yes, thanks, Jeremy a couple of things there. One, I do think clean energy legislation is a focus for the legislature. I think just by the fact that you see so many bills that are being discussed out there and rightfully so right. The clean energy transition is obviously very important not just for Illinois, but across the country. Certainly as I said in my prepared remarks, there's no doubt that there are several bills that are being considered whether there's a grand bargain, if you will or whether these bills are put together look, it's just too early to say. The only thing I can say is this, is that we are at the table with key stakeholders trying to find a solution and to advocate for the downstate Clean Energy Affordability Act. Because as you heard me say many times, that Act that - those provisions are performance-based rate making approach has really delivered significant benefits for our customers and the entire state of Illinois. So, we have until the end of the month to try and get something across the finish line. Richard Mark and his team have been working tirelessly at that. Now to say their tireless work and the work that we've been doing for many years has already elicited strong bipartisan support. So, we're hopeful to get the proper provisions and a final piece of legislation.
Jeremy Tonet: Got it that's very helpful. Thanks.
Warner Baxter: Sure.
Jeremy Tonet: Maybe pivoting over to transmission, it seems like an exciting time for transmission, if you will. And do you have any sense of the magnitude of specific projects that could be identified by MISO before year-end or in the not too distant future? And what do you see separately as the potential for large scale HVDC transmission opportunities outside or beyond the MISO process. And then finally, I guess with transmission trying to scale the opportunity set here? So I'm wondering if you could help us think through roughly how much CapEx did Ameren deploy over the years where MISO brought renewable penetration from very little to the high levels that is today. Is there any rules - any kind of measures we can think of like $10 billion to accommodate 10%. Just trying to scale the opportunity set here?
Warner Baxter: Jeremy, lots to unpack there. Let me see if - I'll try to respond to those things, and Michael and Andrew will help me if I haven’t hit a point, but certainly come back on. Let me answer your first question - your last question perhaps first. As I said in my prepared remarks, there's about $6.5 billion of regional transmission projects that really were deployed across the MISO footprint over the last decade, if you will. We did about $2 billion of that. Now that doesn't mean - there is a different time, different place. But obviously we did 25%, 30%, almost of those, and it's because of our location in the MISO footprint. And so that's just number one. Two, what you said at the outset, I agree with. It is a very exciting time to be in the transmission business and especially one in the MISO footprint.  When you're sitting in the center of the country, what MISO does with its transmission is integral to the clean energy transition for our country. And so, what you're seeing today is obviously - is a preliminary list of projects that were informed certainly by stakeholder conversations, as well as integrated resource plans and state energy policies, among many other things. It's hard to say just exactly what will ultimately come out of, let's just call it, the transmission plan that will be filed later this year. But the way we look at it and we look at that Future 1 which we showed on that slide, we think that there are a lot of projects contained in that that we think are really kind of no regrets types of projects. It's premature to put a number on it and which projects will go. Because what MISO does now is now they've put out this road map, they are basically looking for input from stakeholders. And so, you can expect throughout 2021 stakeholders will be providing input into that road map. And with that input, MISO will ultimately prepare their long-range plan, their MTEP is what they call it. And we expect that to be filed in the fourth quarter. Ultimately, a process from there Jeremy has been some more input. But ultimately, the MTEP is put before the MISO Board of Directors for vote and hopefully approval by the end of the year. So, it's not too far away but that future one is, I would say, the first step. But then as you look beyond that, as we said in future three, obviously those investments continue to grow over time. And as we said, they range from $30 billion to $100 billion. Those are MISO’s preliminary estimates that will continue to be refined. So hopefully that gives you some of the sense. I'm not sure if I missed, if I addressed all of your questions in there. But I think I got them all there.
Jeremy Tonet: I think that’s very helpful. But maybe just to follow-up, anything on that HVDC front where Ameren might have a bit more leverage.
Warner Baxter: It's a little premature to say that. These are things we look at. Obviously there is some opportunities that we're looking at even in connection with the Missouri Integrated Resource Plan. So a little early to be making those kind of judgment calls, but stay tuned.
Jeremy Tonet: And if I could just do one quick last one, as far as what's coming out of the Biden infrastructure plan, early stages here, but is there anything that you are focused on? Do you see investment upside or benefits from lower ratepayer cost or anything else that could really kind of get things moving with the transmission kind of permitting, paying, planning process here?
Warner Baxter: Sure, well I will say one thing that we are encouraged by in terms of what the Biden administration has done. It’s number one. They're very focused on providing significant funding for new clean energy technologies which we think is going to be so important for our industry, for our country to get to a net zero carbon future by 2050 which is certainly our goal. I think the other thing that you're seeing is you understand. Why you put out a bill that really has some - I think some very good incentives to invest in clean energy technologies and those incentives range from tax credits. They range from tax normalization policies to give opt out provisions. They include tax credits also for transmission. And so, we look at the provisions that build on that. I won't go through all the details here. That bill will really have a direct impact on the overall cost to our customers. And so, we're obviously very encouraged and enthused about that so, a lot going on in Washington DC. We're at the table working with the stakeholders. And we are hopeful that we will continue to see progress and incentives for clean energy technologies here in the next several months.
Operator: Our next question is from Shar Pourreza with Guggenheim Partners. Please proceed with your question.
Shar Pourreza: Just a - good excellent so, just a quick follow-up on Illinois, if something doesn't pass in the next couple of weeks, Warner, do you sort of intend to push over the summer. What are your thoughts on getting something done during the veto session? I know there's obviously a lot of competing interests, there's a lot of bills? You highlighted that. Some of them are outside of energy, there’s new legislators and politicians. So, there's also a question mark with many of energy is even a priority right now. So, just trying to get a bit of a sense if something doesn't get done in two weeks, how do we sort of price this in the veto session?
Warner Baxter: Sure, Shar, one of the things as you talk about veto session in Illinois. And Illinois is a bit unique, perhaps, compared to other states whereby the veto session isn't really just there to address bills that have been vetoed but also can address bills that have been presented during the regular session. So to be clear, I'll say this first, we are very focused on trying to get something across the finish line for the benefit of our customers in the State of Illinois on energy policy here by May 31. But your question is what, what if it doesn't happen here in the next several weeks? Well then it could be brought up in the veto session. And our approach would be very much of what we've been doing. We will continue to strongly advocate for the Downstate Clean Energy Affordability Act. And the reason why we will continue to strongly advocate for it is because it has strong bipartisan support. We have House bills and Senate bills with strong bipartisan support as well as supporters from north and the south part of the state. And so, we're going to continue to push for that because we - strongly believe it's the best policy going forward for the state of Illinois. It isn't just because we believe it, it’s because it been delivering results for almost a decade now. And that's why we're going to continue to advocate for. So, I do think people say whether it's a priority, I will tell you there are conversations going on in the state of Illinois around energy policy. So, I know they have other priorities that they have to balance but I do believe energy policy is one of them.
Shar Pourreza: And just lastly shifting maybe south, obviously it's not a major priority for you guys are essential to current growth plan that obviously you're re-highlighting today. But any thoughts on securitization, legislation as it makes its way through the chambers. Any sort of expectations you can provide as we get to the homestretch?
Warner Baxter: Well, we are - we're in the homestretch in the state of Missouri at the end of this week. And Marty Lyons and his team have been working hard on that. And we provided some perspectives but Marty you have been in the middle of that. I'm just going to turn over you. Maybe give us the latest update if you don't mind.
Martin Lyons: Sure, Warner. Yeah, you're absolutely right. Securitization isn't something that we see is required to isn't something that we see as required to be able to carry out our integrated resource plan. But we do think it would be a good tool to have in the toolbox of the commission especially as crafted in Missouri. So you're right. There have been aversions going through the House and the Senate. They're very, very similar at this point. Last night, actually, the Senate passed the House securitization bill which is HB734 and they did make some slight modifications to that. So, now, that goes back to the house to the fiscal review committee and we'll see whether that can be then voted on in the House. We may see actually some action as early as today. But in any event what has to happen over the remainder of the week is that the language needs to get conformed between the two, the Senate bill, the House bill. Like I said, they're very, very similar at this point and ultimately needs to be passed by the end of the week. As Warner indicated, the legislative session ends on May 14th this Friday - this Friday afternoon. So, in any event, we're very close. Can't predict whether it'll actually get done, but it's really positioned pretty well for success. So we'll keep our fingers crossed for the remainder of this week.
Shar Pourreza: And just - Marty, just assuming you get securitization, obviously, this is the messages you don't need it for the IRP but curious if you get securitization, is there an acceleration of the plan under the IRP or any opportunities to potentially accelerate the plan?
Martin Lyons: No, there's really no change to the integrated resource plan. When we filed that last September, we filed it believing that it was the most affordable process and most reliable process for transitioning our fleet over time. And so we stand by the integrated resource plan that we filed. Of course, we've been getting comments on that. We expect that ultimately the Getting comments on that. We expect that ultimately the commission will rule on whether that process that we went through was appropriate. We certainly believe it was. And it would only be through consideration of changes that might occur over time that would cause us to modify the IRP. We still believe the preferred plan that we filed as the appropriate pass. Securitization passes, there would not be any immediate impact on the integrated resource plan. But like I said, conditions change through times. And we do believe having securitization in the toolkit of the commission would be a good thing to have.
Operator: Our next question comes from Julien Dumoulin-Smith with Bank of America. Please proceed with your question.
Julien Dumoulin-Smith: You guys have a lot on your plate and congrats on continued success in de-risking?
Warner Baxter: You bet.
Julien Dumoulin-Smith: I would say, I would say - I mean Warner you made some interesting comments on transmission earlier. I would ask obviously the future one, two and three have big numbers long timelines and you've already tried the pieces part but how would you characterize this current MTF as best you see it coming together against some of those bigger projects? How much should we be expecting here, right? If you want to just sort of start to set expectations initially considering that obviously you think long queue is?
Warner Baxter: Yes. Julien so, a couple comments there. It is really premature to really say exactly which of those projects will ultimately show up in the MTEP. I think myself did a fine job of putting together this long range plan which gives us collectively an opportunity to weigh in on it and to try and keep really our finger on the pulse of all the things that are going on around the country, not just in the states but around the country. So it just is too premature. But I will say this, that we, as well as MISO and other stakeholders, there is a sense of urgency to address this, these matters because we see the clean energy transition coming, and we know that transmission is critical to its success. And so, consequently, there's a significant amount of interest, a significant amount of work being done. And so we're not too far away from really hearing what that's going to be. The fourth quarter is really, for all practical purposes, right around the corner. And as you know, some of these projects, as you said, they take time to plan, get approval, and ultimately to execute. So, again, as we see this, and I've said this in the past, it's really just - the study really is consistent with what we've been talking about really for the last several years. We see significant transmission opportunities, and should they come in the form of this MTEP or otherwise, we think they're probably, if there are any, would come towards the back-end of our five-year current capital expenditure plan, but especially in the second half of this decade, you see some of these transmission projects really come to fruition. And as I’ve said before, we're well positioned, well positioned to execute on many of those projects. So we're looking forward to it.
Julien Dumoulin-Smith: Got it. Excellent. Sorry to follow up on legislation very narrowly here. How do you see the potential of moving into June versus the end of May? I know there's some latitude issue there. And then also, more importantly, the contrast of a grand bargain would be potentially carving out this issue in the sunset, the question on the utility front separately from anything bigger. Is that conceivable in your mind, or does this need to be a bigger deal as far as you're concerned?
Michael Moehn: Julien, Michael here. I’m not sure we caught your whole question. You're talking about moving from outside of the May 31 ending the session into June, so like of our special session?
Julien Dumoulin-Smith: Yes, exactly. It was my specific question.
Michael Moehn: Okay. Illinois legislature?
Warner Baxter: Illinois legislature.
Michael Moehn: I’m sorry. It was a little faint. Look, like everything else. We certainly can't predict whether there would be a special session of sorts in the Illinois legislature. As I said before, we're focused on the spring session in May 31 and should that not bear fruit within, we'll see where the next steps are. And then we talked a little bit earlier about the veto session. So premature to speculate whether a special session would be called.
Julien Dumoulin-Smith: Fair enough. But you don't need to necessarily get this grand deal to get this sunset - the sunset address.
Michael Moehn: No. I'm sorry. Thank you. No, at the end of the day, so just to be clear - this expires in 2022, right. So this is not a piece of legislation has to be done this year. It expires in 2022. And let's not forget that the overall regulatory framework that we have which we’d go to now has some things in there that are solid as a forward test year as decoupling bad debt writers and those other things and return on equity that will be done in the normal course of return on equity setting and by the Illinois Commerce Commission. And so, bottom line is this. Now we strongly believe that the Downstate Clean Energy Affordability Act and all the provisions in there are clearly - are in the best interest of our customers in the state of Illinois. We're going to continue to advocate for that. But it doesn't have to be done here in the next week or the veto session. But having said that, we think having that certainty and sustainability is the right way to go. That's why we're pushing for it.
Operator: Our next question comes from Durgesh Chopra with Evercore ISI. Please proceed with your question.
Durgesh Chopra: Just Michael, quick clarification on the equity, in Q4 you said, you guys said $300 million a year to 2025, the ATM goes through 2023. Is still $300 million per year, a good sort of number to model till 2025?
Warner Baxter: Yes, I appreciate the question, yes. So, if you go back to February, yes the same, the same metrics that we gave, we're doing $150 million here in 2021 and then $300 million 2022, through 2025. All of those assumptions still stand today. And this ATM is going to allow us to execute against that.
Durgesh Chopra: Understood. Thank you. And then maybe just - I want to get into a little bit of detail on the, on the Missouri securitization. Warren I’m just clearly, you assume it doesn't impact your IRP, could sort of your assets be at risk? I'm thinking about early retirement of coal plants, the capacity factors of your generation assets and whether sort of the legislation now sort of accelerates the recovery of coal plants and impacts the rate base growth profile. Just any color there would be great. Thank you, Warren.
Michael Moehn: Yes. Thank, Durgesh and I’ll have Marty weigh in at the moment. Look as we've said before, we're very fortunate. We have a strong baseload coal fleet that runs, that runs a lot. And it's because of you know some of the actions and things we've done really over the past several years, decades frankly. And so, we laid out our integrated resource plan and you see that systematically, we are retiring our coal fired energy centers over time. And it's because number one, we think it's in the best interest of our customers from a reliability and affordability perspective. And so, as Marty said, we don't see that changing. But conditions could change, right, whether it's at the state level or federal level. And so securitization is not going to drive us to do anything different other than absent changes that may happen, as I said, from a policy perspective or otherwise. But it is a good tool to have in our toolbox, should those changes occur. So we - our coal plants are valuable assets to us today. Over time, we will retire them. But we don't see any near-term changes to how we plan on operating or certainly risks to those assets. Marty, would you have anything to add to that?
Martin Lyons: Well, first, I firmly agree with everything that you conveyed. And when you look at the integrated resource plan that we filed, we've got four coal-fired energy centers. As Warner said, we've got very efficient coal plants. They operate very well. But with that said, in our integrated resource plan, we did lay out that we're retiring our Meramec facility here in 2022. We expect that that will be fully recovered at that point in time. We did propose the accelerated closure of both the Sioux and the Rush Island plants, Sioux by about five years and Rush Island by about six years. So Sioux would close in 2028, Rush Island in 2039, and then Labadie, which is our largest plant and most efficient plant, would close in two stages in 2036 and 2042. So, again, we've accelerated the expected closure of two of our plants, and those accelerations and the recovery of those are actually reflected in the rate review filing that we made here in March. So we're looking to accelerate the recovery of those plants. And then of course the rates are also positively impacted by the expectation of Meramec closing. So, those things are reflected there. That's historically the way we've handled things in Missouri. And again as Warner said, when we filed the IRP we made a host of assumptions. Conditions can change and vary from the assumptions that we made through time for a variety of reasons. And as I said before, securitization is not going to change the integrated resource plan, preferred plan that we have today. But if conditions change versus the assumptions we've made through time, again securitization will be a good tool to have in the tool box.
Durgesh Chopra: Understood. Appreciate the color. It sounds like it's more of an opportunity than a risk for you guys. Thanks for taking my question.
Warner Baxter: You bet. Thank you.
Operator: Next question comes from Stephen Byrd with Morgan Stanley. Please proceed with your question.
Stephen Byrd: Lot's been covered in Q&A. I guess I was stepping back and thinking about kind of key areas of growth upside for you all over - I mean you have a very impressive growth plan as it is, but thinking especially about incremental renewables, elements of your IRP but just other dynamics. And just wanted to step way back and think about those kind of key categories of additional growth upside and wonder if you could just comment on that?
Warner Baxter: You bet. You bet. Well, I think there are a couple of them one, we've - probably more than a couple frankly there are several. And one, we talked quite a bit about already today and that's transmission. So as you know we present investment opportunities for 2030 of $40 billion plus of investment opportunities. And one of the reasons we put that plus there is because transmission. So that $40 billion number that we have of investment opportunities does not include any of the regional transmission projects that we've spent quite a bit of time talking about already. So, Stephen, that would be certainly one meaningful upside to our investment profile that we have prospectively. A second one and another one that we've talked about - and again, I mentioned this a little bit earlier. Is electrification and the infrastructure that has to go for the greater electrification especially for the transportation sector in our country. Now, our long-term plan has really no meaningful investments associated with the electrification of the, transportation sector and as you listen to the policymakers discuss the need for a cleaner energy transition in this country and lower carbon emissions. Well, the transportation sector is the greatest carbon emitter in our country today. And so, you've heard certainly the automakers and others continue to lean further in. Well, we're going to lean further in, too, and we have been. And so, I think that, too, is a significant opportunity. But I'll tell you, just to be clear you know what I’ve done with all of our investments in grid modernization. We need to continue to make investments in the grid both in Missouri and Illinois to make sure that the grid continues to be reliable and resilient. So, as we look at those investment opportunities which could also then include renewable - greater levels of renewable energy over time, we have quite a bit in there. But times as we said could change if policies change those two could be investment opportunities. I didn't put a specific number on those. But they're sizable. They're sizable. And so, we see our robust infrastructure plan that we have already today continuing for some time.
Stephen Byrd: Really helpful. And then maybe just one additional question on transmission, a lot of questions already on this, but thinking about sort of FERC and FERC has their objective to eliminate barriers to executing on transmission. How do you see that factoring into the existing RTO processes? Is that more of just a long-term objective of FERC or could that yield particular impacts to the outlook for transmission growth?
Warner Baxter: Yes, thanks Steve. And yes, I would say it's a bit too early to say. To what extent, FERC will get more engage in the RTO processes, which have obviously been very well defined over the years. And whether FERC will engage in that, it's just premature to say. What I will say is that certainly the clean energy transition and the importance of policies to support that clean energy transition are important issues for we certainly as transition owners, but also for FERC. And I think Chairman Glick and the commissioners there recognize that. I think you're going to continue to see greater levels of attention and focus at FERC on things that they can do to accelerate safe, reliable, and affordable transmission build around the country.
Operator: Our next question comes from Paul Patterson with Glenrock Associates. Please proceed with your questions.
Paul Patterson: I’m well, I’m well. So a quick technical question for Marty, the Missouri securitization bill. It sounded to me that you - and I've been following it that the House version that's been amended - the House bill has been amended in the Senate and now is in the Housing Committee? If it passes out of the House without any changes, does it go straight to the governor or does it - it was a little confusing to me or does it have to be - will there have to be some changes - does it have to go back to the Senate - assuming there’s no changes made in the House?
Martin Lyons: Yes, if there are no changes made in the House, then it will go to the governor. So if they make - the Senate voted it out last night. And if the House makes no changes and votes it out then it will be done and off to the governor.
Paul Patterson: Okay, that would be nice. And then with respect to the Illinois legislation and I know this doesn't pertain specifically to you guys, but it's sort of an element I think potentially is the PGM auction. Do you think that's going to play any role in the timing here because as you know that's coming up a little bit sooner than the - at least it's beginning a little sooner than the end of the month?
Warner Baxter: This is Warner, I simply can't predict that. I really don't know. Obviously you're right. It's not something that's directly correlated to us. But obviously we keep an eye on all things that could have an impact. But let’s hope it wouldn't be appropriate for me to comment on that.
Paul Patterson: Okay. I'll leave that one alone. So the crystal ball question. So - well just moving on to very quickly on the MISO issue and the ROE ensure to being part of an RTO. If this - if FERC takes action that could be - that you perceived to be negative with respect to the transmission ROE and being part of an RTO. Is there anything we should think as being potentially an outcome from that that you guys might take - or? How should we - I mean I just noticed you guys bringing that up in the slide presentation. I just wanted to - I was wondering are you guys - is there any - how should we think about it, if they do reverse this 50 basis points or do other action that might lower the ROE?
Warner Baxter: Sure, well Paul, I mean the reason we bring it up certainly in our prepared remarks is because we believe that the potential direction that FERC is taking is inconsistent with FERC policy its inconsistent with the intention of the law. And we think right now is the time where FERC should be doing everything it can to incent companies, to join and remain in RTOs. And so we bring that up simply because of that. And certainly, we think the 50-basis-point adders, is absolutely positively appropriate for us to have because we've given up control of our system. So I think that's in the first instance. We're not trying to be any more specific than that. And that we are going to work very hard here between now and the end of the month and put together our comments like others in the industry to state our position very clearly to FERC.
Operator: Our next question comes from Insoo Kim with Goldman Sachs. Please proceed with your question.
Insoo Kim: Just one question from me and I just wanted your update on the latest on the clean air litigation regarding your Rush Island plan, I think Labadie is involved. I think you're expecting kind of a ruling from the appeals court sometime this year. Is that still on your expectation? And I guess depending on what comes out of that, if there is a - if it goes against you on the appeal side, how do you think about the next step as it relates to the timing of potential CapEx or just the state of B plans?
Warner Baxter: Sure, sure a couple things, just to refresh everyone's memory. So our argument was held in December of last year. And so, that case, and this was review case is simply before the appellate court now. We said we expected a decision this year, but I'll tell you that the appellate court has no timeline in terms of when they must issue a decision. But we would think in the normal course, we would expect to see something this year. So we simply don't know. Look - the question is whether we get an unfavorable ruling. I'll start with this. We believe we presented a very strong case to the courts in this matter in December. And then should they ultimately rule against this. We'll step back and assess what actions we need to take at that time. And so, it’s would be really premature to speculate on what actions we would take and what impact it might have on our overall plan. So, if and when we come to that we'll address that in due course. So, stay tuned is probably the best message here.
Insoo Kim: Got it? I guess in terms in relation to this current securitization bill perhaps, do you think that could provide one avenue that could help you navigate through this matter?
Warner Baxter: Certainly, as Marty stated before, securitization is a tool for several things whether it would be something that would apply here. We'll just have to wait and see. But first things first, we're focused on winning that case before the appellate court and then continue to execute the plan that we laid out before the Missouri Public Service Commission and our integrated resource plan.
Operator: We have reached the end of the question-and-answer session. At this time I'd like to turn the call back over to Andrew Kirk for closing comments.
Andrew Kirk: Thank you for participating in this call. A replay of this call will be available for one year on our website. If you have any questions, you may call the contacts list on our earnings release. Financial analyst inquiries should be directed to me Andrew Kirk. Media should call Tony Paraino. Again, thank you for your interest in Ameren. Have a great day.
Operator: This concludes today's conference. You may disconnect your lines at this time. And we thank you for your participation.